Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 2020 Spectrum Brands Holdings Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the conference over to your speaker today Kevin Kim, DVP of Investor Relations. Thank you. Please go ahead.
Kevin Kim: Great. Thank you, Angie. Welcome to Spectrum Brands Holdings Q3 2020 earnings conference call and webcast. I'm Kevin Kim, DVP of Investor Relations and moderator for today's call. To help you follow our comments, we have placed a slide presentation on the Event Calendar page in the IR section of our website at www.spectrumbrands.com. This document will remain there following our call. Starting with Slide 2 of the presentation. Our call will be led by David Maura, Chairman and Chief Executive Officer; Jeremy Smeltser, Chief Financial Officer; and Randy Lewis Chief Operating Officer. After their opening remarks, we will conduct the Q&A. Turning to Slides 3 and 4. Our comments today include forward-looking statements, which are based upon management's current expectations, projection and assumptions and are by nature uncertain. Actual results may differ materially. Due to that risk, Spectrum Brands encourages you to review the risk factors and cautionary statements outlined in our press release dated today July 31, 2020 and our most recent SEC filings and Spectrum Brands Holdings most recent Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. We assume no obligation to update any forward-looking statement. Also, please note, we will discuss certain non-GAAP financial measures in this call. Reconciliations on a GAAP basis for these measures are included in today's press release and 8-K filings, which are both available on our website in the Investor Relations section. I will now turn the call over to David.
David Maura: Hey. Thank you, Kevin. Good morning, everybody. Thanks for joining us today for our third quarter call. Before we turn our attention to the company's third quarter results, I want to say again thank you to all of our employees. We've got a 11,000 plus employees around the world. And to all of our frontline workers in our factories and distribution centers. I'd like to say thank you. You guys are the true heroes of our company. Your sacrifices relevant Spectrum Brands do embrace our new identity as a true home essentials company. Because of you we're innovating marketing and we're bringing joy and happiness to our consumers worldwide. Whether it's in the kitchen, the yard, around the house, or with your pets; we are delighted to make life better and more enjoyable for our consumers of our product and services throughout the planet. Turning to Slide 6. Our results this quarter reflected strong demand that accelerated throughout the course of the quarter. Simply put, we have embraced our position as a home essentials business and instead of pulling back in the face of the COVID-19 challenges, we are continuing our drive to add talent, create new innovative products and improve our operating model. In addition, just in the last 60 days and ramping up in the current quarter, we have committed to significant increases in our advertising investments to meaningfully accelerate the long-term organic growth of our company. The actions of our Spectrum brands family reflect resilience and operational excellence in this ever evolving environment. This includes adopting safety protocols in response to COVID-19, navigating temporary government mandated factory closes that has impacted our hardware home improvement businesses and balancing strong underlying demand including large mix shifts. The temporary COVID-19 related supply disruptions from our HII division negatively impacted results this quarter. But we believe the situation is largely resolved and supplies expected to be called up by our first fiscal quarter. Furthermore, our global productivity improvement plan savings positively impacted each of our core business in the third quarter. As we indicated earlier in the year, these savings are now beginning to outweigh the headwins from the annualization of tariffs which we expect to be an incremental $70 million in this fiscal year. We continue to expect GPIP to generate at least a $100 million of full run rate cost savings over the next nine to 12 months. To be frank, I continue to be very excited about our global productivity improvement programs. The impact of this critical strategic initiative is evidenced more and more everyday with our employees and increasingly more with our customers and investors. The savings across procurement initiatives and operating model improvements are driving real benefits aiding our commitment to deliver sustainable organic growth by balancing these savings with reinvestments and allowing us to plant the necessary seeds back into our businesses to grow our biggest most promising brands. And in fact, we are doing just that. As a home essential company, our products evolve, revolve and center around the home. Aided by our commercial operations team or what we call comm ops, we've quickly pivoted to ensure our new products and incremental advertising investments resonate with consumers finding themselves spending more time at the home. Since the initial change in consumer behavior back in March, our comm ops and business units worked together as one. To recognize, adapt, and lean into the spike in at-home trends. That is positively impacting everyone of our businesses. We believe this trend is a sustainable tailwind to drive growth and repeat purchases as consumers spend more time on the home front. Starting in our home and garden division along with our home and personal care unit and expanding during the July 4th holiday across all the other business units, we have approved about $20 million of incremental advertising spend that will continue into the first half of 2021. We expect these investments to drive returns from the George Foreman Smokeless Grill to the Spectrum side new homing, just to point out a couple. Again, instead of pulling back, the company is leaning in. We are investing and we are expanding. From a balance sheet prespective, we continue to be focused on liquidity and a strong balance sheet. On June 30th, we strategically refinanced our existing $890 million cash revolver and we replaced it with a new five-year $600 million low revolver and a $300 million 10-year senior and secured notes which are due in 2030. This leverage mutual transaction allowed us to maintain a very strong liquidity position while extending the maturity profile of our debt and locking in favorable pricing. Also during the quarter, we did opportunistically sell 1.1 million shares of our Energizer common stock holdings for proceeds of about $50 million and we ended the quarter with the 3.1 million share position in energizer. If I could have you turn to Slide 7 now please. The third quarter results are represented three of our four business units during the third quarter actually generated healthy organic growth and despite COVID-19 related challenges, our global team generated financial performance that was consistent with the prior year. Importantly, our ecommerce business continued to generate exceptional growth across all the businesses with sales up 44% compared to the prior year and now representing approximately 16% of our base business. Total demand remain strong. With July, net sales up across all business units. Our future's bright as a home essentials company, we believe we remain well-positioned financially and operationally to drive long-term sustainable organic growth. Turning to Slide 8. I'd like to take just a few moments to look back or just over the past 90 days, did some comments from our last earnings call. If you remember, I concluded my second quarter prepared remarks indicating our plans to realign our supply chain to better reflect and accommodate new demand patterns, plans to continue to execute on our global productivity improvement programs, and to embrace a more consumer driven mindset. We delivered on those expectations in the third quarter by achieving better than expected results in the midst of a very challenging environment. Taking another step back, in the face of incremental tariffs in COVID-19 challenges, so far this year, we have grown organic sales and adjusted EBITDA despite significant supply chain issues. While our teams are focused on finishing the year strong, our recent results demonstrate our resilience as a leading consumer staples company. We believe our laser focus on operational excellence driving efficiencies to our global productivity improvement plans and investing back in the business to drive long-term sustainable organic growth continues to point the way to a very bright future. If I could have you turn to Slide 9 in the presentation. Our employees are the absolute heroes of the story. They continue to demonstrate serving leadership across the businesses and this includes our work to launch timely new products. The team is innovated by introducing Cutter hand sanitizer and more recently natures miracle disinfectant. Our plans in Blacksburg, Virginia, Melle, Germany, continue to designate part of their facilities to produce hand sanitizer and help combat the spread of COVID-19. Given the continued needs, we continue to donate these products and so far we've donated to many organizations, some of which include the St. Louis Area Foodbank, the Northwest Arkansas Food Bank, and New York City Relief. As well as many organizations around the country in the world. These products are also available now for purchase on several ecommerce sites. Turning our attention now to Slide 10, just as a reminder, our Spectrum 2020 guiding principles remain vision, clarity, and focus as we create a faster, smarter, stronger Spectrum brands of the future. Our vision is being a strong innovator of great products supported by consumer insights and marketed with excellence. We are bringing clarity to organization by continuing to simplify our business, streamlining our go-to market strategies and becoming a much more productive and efficient company. Our unwavering focus on best-in-class customer service, this is our pathway to consumer driven mindsets across the businesses and we accept nothing but outstanding quality and service for increasing innovation and marketing investments to drive our brand and the long-term growth of our businesses. I continue to believe the best days are ahead of this company as we work to deliver significant long-term value creation to our shareholders and produce sustainable growth going forward. Now, you'll hear much more from Jeremy on the financials and Randy will walk you through the additional business unit insights. I'll now turn the call over to Jeremy.
Jeremy Smeltser: Thanks, David. Good morning, everyone. Turning to Slide 12 and a review of Q3 results from continuing operations. Beginning with net sales. Net sale decreased 3.7% excluding the impact of a $11 million of unfavorable foreign exchange and acquisition sales of about $3 million. Organic net sales decreased 2.9% with growth in Global Pet Care, Home & Personal Care and Home & Garden offset by a decline in Hardware & Home Improvement due to the supply challenges. Gross profit decreased $12 million in gross margin of 35.4% increased 10 basis points despite supply restrictions due to favorable product mix and improved productivity. SG&A expense of $225 million decreased 3.4% at 22.8% of net sales consistent with last year driven by lower operating expenses and restructuring costs. Operating income growth of 1.9% was driven by lower restructuring activity partially offset by the supply disruptions in Hardware & Home Improvement. Net income and diluted earnings per share were driven by gains on the company's Energizer common stock holding, gain from the extinguishment of stainless-steel low debt and lower shares outstanding. Adjusted diluted EPS increased 0.7% as favorable product mix, improved productivity and lower shares outstanding were partially offset by supply disruptions from HHI. Adjusted EBITDA decreased 4.9% and adjusted EBITDA margin decreased 20 basis points. The deploy in HHI was partially offset by growth from Global Pet Care, Home & Personal Care and Home & Garden. In total, we estimated the overall impact of COVID-19 to our ability to supply product in the quarter, reduce net sales and adjusted EBITDA by over $100 million and $30 million respectively. Turning now to Slide 13. Q3 interest expense from continuing operations at $36 million increased $2.2 million driven by higher debt from the revolver borrowings. Cash taxes during the quarter of $3.9 million or $3.7 million lower than last year. Depreciation and amortization from continuing operations at $35 million was $1 million lower than the prior year. And separately, share and incentive based compensation decreased from $15.6 million last year to $14.2 million this year. Cash payments for transactions were $7.2 million down from a $11.8 million last year. And restructuring innovative payments for Q3 were $25.2 million versus $14.6 million last year. The higher cash burn was driven by GPIP. Moving to the balance sheet, we completed the quarter by building meaningful financial flexibility and a strong balance sheet including sequentially improving our liquidity position and maintaining ample flexibility on debt covenants. We had over $800 million of total liquidity including a cash balance of $466 million and $341 million available on our cash flow revolver. Total debt outstanding was $2.7 billion and up as a result of drawing down on our revolver. As compared to the prior year, third quarter ending inventory was lower by $151 million. As enhanced demand and supply delays associated with COVID-19 combined with the increased disappointment and approved process around inventory management we demonstrated in the past three quarters limited our inventory investment. We continue to invest in capacity, automation and consumer insights to better manage our working capital and are really pleased with the progress this year. On June 30th, we successfully refinanced our $890 million cash flow revolver with a new five year $600 million cash flow revolver and $300 million of 5.6% senior unsecured notes June 2030. Consistent with our comment last quarter based on the seasonality of our working capital we generated substantial positive cash flow in the third quarter and we continue to expect substantial positive cash flow in Q4. Additionally, we sold approximately 1 million shares of Energizers stock for proceeds of $50 million during the quarter and held just under $3.1 million shares at quarter end. Capital expenditures were $12.8 million in the quarter versus $13.2 million last year. Turning now to Slide 14 in our plans moving forward, while we have withdrawn our fiscal 2020 guidance, we did want to spend time discussing our current market conditions. We believe our strong liquidity which was further solidified in June positioned us to weather the storm and the pandemic. Regarding our capital strategy, we continue to target net leverage of 3.5 to 4.0 times. We improved this metrics sequentially as we ended Q3 with net leverage of just below four times and expecting yet to end the fiscal year at the midpoint of our target range. Additionally we continue to temporarily suspend our share repurchase program. As mentioned earlier, we are also planning for incremental advertising investments in Q4 and beyond and Randy plans to provide more details by business unit. And lastly, demand in July remains strong and net sales up across all business units. Now to Randy for a more detailed look at our operations.
Randy Lewis: Thanks Jeremy, and good morning. Thank you all for joining us today. My comments will focus on our operational performance in Q3 progress on our global productivity improvement plan and a review of each business unit to provide you more detail on underlying performance drivers. In Q3, we continue to face COVID-19 related challenges namely supply disruptions that threatened our ability to with the increased demand from our customers for our home essential products. I will detail this by business unit in a minute but first the safety of our teams has been our paramount concern for this quarter as we responded to the COVID-19 impacts on our supply chains globally. Then the challenges were varied throughout the different regions of the world, we have greatly benefitted from a global governance approach of our COVID-19 response team that ensured solid implementation and options strict safety standards and protect our people and minimize chance of COVID-19 spread within our facilities while ensuring that we abide by all government mandates. We saw similar challenges to what we faced in Q2, however the operating environment improved the cost each of the business units throughout the quarter. Production rates have improved sequentially over the past few months and today, all of our manufacturing distribution facilities worldwide are open and operating at or above the output levels from before the pandemic. And we are working deligently to replenish inventory since 80 stocks. Which is really critical because we have a very strong order book in each of our businesses. Let's dive into the key three supply chain performance of each business unit and kind of and cover the expectations moving forward. And HHI recalled a starting at the end of March government shutdowns and reduce capacity mandates related to COVID-19 impacted two of our plants in Mexico and one in the Philippines. These government mandates continued into late May and limited our production capabilities. Now as a result clearly impacted our security category sales in Q3. In response to these disruptions, our team successfully ramped up production at third party partners and moved work to other internal manufacturing locations where possible. However these efforts were not quite enough to offset the impact of the temporary shutdowns. We got news since after receiving the green lights to reopen each of our facilities from these governments or teams have now increased capacity back to pre-COVID-19 levels or above. And we continue to push for further increases in capacity in these plants and are using an alternative locations to help accelerate our recovery. As you may recall, earlier this year in Q2, we had a few cases of COVID-19 among employees that are at Home & Garden facility in St. Louis. We took swift action to mitigate potential spread. After temporarily shutting down, clean the facility reviewing safety measures, we reopened successfully. Since then, we have redesigned production processes to adopt new staffing conditions that enhance worker safety. The facility has fully recovered to pre-COVID-19 output rates, is running hard to address consumer demand and retail orders reflecting strong POS levels at an extended selling season. But on the personal care after both sales started in April, we rebounded with very strong stronger than expected demand starting midway through the quarter. This positively impacted sales and low order supply levels which were already strengthened the shutdown of Chinese suppliers in Q2. We expect inventories of our finished goods to return to more normal levels across most of our categories by the end of Q4. Turning to Slide 17. As you heard in my supply chain review, we continue to benefit from stronger consumer demand for our home essential products. As a company, we believe we are gaining share across most of our major categories. As David highlighted earlier, our commercial teams continue to adapt to the shift in consumer environment by prioritizing our marketing efforts to our best performing brands and well stocked products. Tying the benefits to home life and enabling consumers to purchase them online. As a result, demand in topline accelerated across each business unit with all that HHI generating solid organic growth. Demand remain strong so far also in Q4, then while we still have two months to go, we expect strong orders as our recovering supply chains replenish low inventories at many of our retail partners. Initially, our digital teams continue to leverage current data to identify consumer trends for new products and sales opportunities which read promotional content that appeals to these consumers. This quarter, ecommerce grew by more than 44% a further acceleration from the 38% reported in Q2. Ecommerce this quarter represented more than 16% of our total net sales as a company. Now, let's turn to our internal growth and efficiency efforts on Slide 18. While I can provide an update on our global productivity improvement plan. As a reminder, the most important aspect of this program is to drive sustainable growth in our products and brands to new capabilities and increased investments in consumer insights, R&D and marketing. To drive that investment, we are changing to operate more efficiently and capture cost savings by harnessing our collective knowledge, power and resources in key areas that are shown here. This program continues to be our most important strategic initiative to transform into the new Spectrum Brands. In the COVID-19 challenge has accelerated our progress especially in our company culture. Our teams laid the foundation over the past year for partnership and collaboration across the enterprise but the COVID-19 pandemic required us to work those partnerships more quickly and effectively across business units, regions and functions. This cultural acceleration will facilitate the delivery of long-term sustainable organic growth. As we continue to focus more globally online strategies and faster decision making. As David mentioned earlier, savings from our GPIP program positively impacted each business unit during the quarter. And we continue to expect the gross savings to be at least a $100 million annually and that these savings will be a full run rate within the next nine to 12 months. Much of the savings continues to be invested at the back end of growth initiatives and consumer insights, R&D and marketing across each of the businesses. Now let's turn to a more detail on performance of each of the four business units. Starting with HHI on Slide 19. Third quarter reported net sales decreased 20.6% and organic net sales decreased 20.4%. adjusted EBITDA decreased 35.6% primarily driven by negative volumes and incremental cost related to COVID-19 operating conditions. Customer demand each of the three categories remained strong and we expect a significant improvement in shipments given our order position and improving factory outputs as we progress through Q4. As we highlighted on the Q2 call, April demand reflected certain areas of snowing particularly new home construction. But since in the macroeconomic environment improved in May and June and we expect this sequential improvement to continue into the end of the year, albeit still down a bit from prior year. Additionally, we expect to repair new model market to benefit from consumers continuing to focus on DIY projects. Looking ahead into Q4, we expect net sales to primarily benefit from the reduction of high open orders. As we work to resolve the supply chain constraints from the third quarter related to the temporary order shutdowns. We also expect demand in Q4 and beyond to benefit from our new product introductions and incremental advertising investments. This includes the exciting retail launch of Halo Touch, our innovative biometric Wi-Fi enabled smartwatch and was awarded Best of CES in January this year. In addition to the smart key technology in voice assistance capability, Halo Touch not only offers home owners and their family are safely and have a safety lock and unlock their doors from any remote location with the internet connection but also offers the enhanced at-door experience of the innovated fingerprint access technology continually allowing enrollment about the 50 users which can be securely manage from the Kwikset app. Additionally, we've already invested in incremental advertising dollars to the Kwikset and Pfister brands. In the case of Kwikset, new TV commercials which we haven’t seen in over 10 years, again running around the July 4th holiday with a focus on our Microban products which incorporates anti-microbial technology into the coding that lasts the lifetime of the lock and result in a bacteria reduction of over 99.9% versus an untreated lock. These incremental advertising investments are planned to continue in the 2021 and initial indications are encouraging with 10s of millions of early impression soon through consumer awareness of this capability. Now the Home & Personal Care which is Slide 20. Reported in organic net sales increased 3.0% and 6.5% respectively. Adjusted EBITDA improved 37.4% to $25 million. Net sales were driven by strong grown in small appliances partially offset by a moderate decline in personal care connecting with COVID-19 related inventory constraints. North American sales in particular grew 14% in small appliances driven by mass online and discount channels. Unit growth was driven by higher volumes mix favorability, productivity improvements partially offset by foreign exchange headwinds. Strong growth in the U.S., Canada and Asia Pacific and continued growth in Europe reflect the broad base turnaround momentum of our Home & Personal Care business. Behind the new management team globally aligned strategies and increased investments. This quarter represented the fourth consecutive quarter of year-on-year topline growth and third consecutive quarter of year-over-year bottomline growth. Teams targeted approach for both home appliances and personal care driving market share gains and helping consumers with at home meal prep and personal grooming needs and today's COVID-19 environment. Our team sees growth opportunities across cooking, food preparation, breakfast preparation as well as growth from shaving room in Q3. And this momentum continues so far in Q4. Incremental advertising investment in Q3 was focused on promoting the new George Foreman Smokeless Contact Grill which is already launched at Walmart. Which enables convenient and healthier meal preparation without the mess and smoke from stove top cooking. All indications are promising and in Q4 we plan to extend these investments for our George Foreman Smokeless Grill series which will expand distribution both additional models and channels. We'll ask the plan to invest behinds an exciting innovations in our Remington brand. In Europe, in Asia Pacific, we will be promoting our new hydrolex series which allows consumers to achieve expert results without any heat damage. In the America's, we will focus on our new wet to style launch which allows consumers to save time by effectively drying and styling their hair in a single step. Our focus on fewer bigger and better products in this business unit are paying dividends and we expect these investments to continue generating returns into the critical holiday period. Moving to Global Pet Care, which is Slide 21. Third quarter results represented a record quarter for revenue and profit was reported net in organic sales growth of 8.9% and 8.3% respectively. And adjusted EBITDA increased 29.7%. Growth in companion animal was broad based while double-digit growth in aquatics was driven by a surge in Goldfish branded live fish sales along with very strong demand for aquatic and reptile environments and systems. Higher EBITDA was driven by volume growth, productivity improvements and positive pricing partially offset by higher tariff cost. Q3 represented nominally a record quarter but the second seventh consecutive quarter of year-over-year topline growth and fifth consecutive quarter of bottom line growth despite lacking difficult double digit comparisons to the prior year. Our pet care team continues to build on our global market leadership position in our core categories of the products dogs use pet grooming, and pet stain and odor. In addition to the already strong fundamentals of this business, we are specially encouraged by all the new pet parents who have recently entered the companion animal category. And all the new hobby is to recently enter the aquatics and reptile categories. These are long-term commitments in both well for the future demand of our products. Lastly the Tetra team began the integration of the Omega Sea acquisition this quarter within our existing aquatics business. This touch neck position is highly complementary to our existing portfolio with untapped global growth opportunities is already performing well despite the COVID-19 challenges to the independent pet channels early in Q3. And finally Home & Garden which is Slide 22. Third quarter reported net sales increased 4% and adjusted EBITDA increased 4.1%. Strong POS in the quarter was driven by distribution games, new product introductions, category growth and favorable weather patterns. Net sales grew despite COVID-19 related supply chain disruptions. Addressing these disruptions, we improved production upwards sequentially and worked diligently to the field of strong demand while maintaining our focus on employee safety. Even the increase was primarily driven by volume growth, pricing, favorable mix and productivity improvements despite headwinds from prior manufacturing cost and tariff costs and our decision to significantly increase our investment and advertising in the quarter. In the third quarter, which user represents about half of sales and EBITDA for the year generated growth across each of the three categories in the Home & Garden business. Our largest brands all delivered strong performances, consumers spend more time at home and we experienced favorable weather patterns. Additionally we did and we will continue to invest more advertising dollars to tell our story around Spectracide, Cutter and Hot Shot. POS remains strong in July with our key retailers indicating plans to continue those seasonal support of the category through the at least the end of our fiscal year. The fundamentals of this business remain strong, we saw the profitability in high various to interim. We are confident that our strong bring into equities and our increased investments in product development and marketing will continue to accelerate long-term growth rates. In my section, I wanted to acknowledge another great quarter of progress on our operating culture and our strategic initiatives. And to thank our 11,000 plus employees for all they are doing to make us proud to be team Spectrum. Now, back to David.
David Maura: Hey thanks, Randy, Jeremy and everybody for joining us today. Given that we covered quite a bit on today's call, I'd like to just conclude with a few takeaways on Slide 24, I think it is. First, we believe our results for the quarter and the year reflect resilient and operational excellence. Second, the future of Spectrum Brands is bright with a strong demand outlook and plans to further strengthen our balance sheet and net leverage position as we invest to drive growth. Third, demand for our products accelerated across each business unit during the third quarter as we grew organic sales across most business units, the demand remain strong so far in the fourth quarter. Fourth, while our supply chain was challenged in Q3, we expect output and fulfilment rates to materially improve in the company's fourth quarter. We believe we are well positioned financially and operationally to weather the storm. And we will be continue to be laser focused on our employees, our consumers and our shareholders over the long-term. We want to thank you for your time, your continued support and we wish you health and wellness as we go forward. I'll turn the call back to Kevin. I really appreciate it when joining us today.
Kevin Kim: Thank you, David. Angie, let's dive right into Q&A, please.
Operator: Absolutely. [Operator Instructions] Your first question comes from the line of Nik Modi with RBC Capital Markets.
Nik Modi: Yes. good morning, everyone. And today a couple of questions. first is just David just thinking about category growth rates and I know obviously you're not giving guidance but how are you just thinking about philosophically, What were category growth rates obviously prior to the whole situation. And how do you think that's going to roll going forward just it's pretty clear and I think that it's pretty surprising how well the business has fell backwards, take credits at much more defensive portfolio. And a lot of consumer products companies has that in the staple space, are probably going to see elevated levels of consumption as we move forward, even past the pandemic, well. I'm just trying to get your perspective around that particular dynamic. And then just a second just quick question is the HHI side, did you lose share if I know the leading competitor also had issues with productions. I just wanted to understand kind of what happened from a competitive standpoint around the added stocks.
David Maura: Well, let's take in a rush order. Thanks for your question, Nik. It's good to hear from you, you sound well. So, that's good. Look, on HHI, I think quite frankly on price Pfister, our plumbing section, I think we're holding around and in fact we've got some new business coming online here and so I would expect this to be able to grow here. We definitely grew share on our hardware segment and we believe we are continue to win there. On security, which is our biggest unit, no question, with supply disruptions and basically just the inability to get new products, your vertical integration because of mandatory closures in certain countries. We did suffer on an absolute basis but I would tell you I believe we're holding our own. And hopefully when we talk in 90 days, we'll be able to talk about taking share. We're really through the global productivity improvement programs. Again let me back out. I just the employees of this company are really rising to the challenge, Nik. I mean, what's going on here is we're turning the culture and people are really embracing the fact that we're not just making goods and services in and around the home and for patch and clean up your yard. But yes, but most people out there are going through a tough time and we all are. And some of these global calls that are been now with our team has really asked everyone to embrace the stock that we're not just providing good new services, we're helping make people's lives better, up and enjoy their pets, get the yards clean of weeds and bugs, secure their premises with the lock. So, I just feel an energy in the company right now. We're working for a bigger purpose. And so with the global productivity improvement investments in innovation new products and now the marketing ramping up is kind of tell the story. The team here around the table with me in Middleton, Wisconsin, they are really trying to position our business to take here. So, I'm I will tell you we're holding serve to taking sure in most businesses. What I think you'll see if you really feel the onion back is when we had supply constraints, we focused on our top brand. So, where we -- we want to play to our strengths. And so, mix is helping quite a bit this quarter because we do put money and emphasis behind, getting Spectracide, Cutter, Repel, Kwikset, DreamBone, SmartBone, our big brands, you know Russell Hobbs. Russell Hobbs is doing terrific by the way in the U.K. So, we really want to get our big brand equities out there tell the story and see sheer growth. So, we're making progress. In terms of growth rates, I don’t want to kind of -- I would cause that maybe we were kind of a 2% or 3% or kind of category growth and clearly we're seeing elevated levels so that but we do see this as a sustainable tailwind for the foreseeable future.
Nik Modi: Great. Thanks, I'll pass it on.
David Maura: Right, Nik.
Operator: Your next question comes from the line of Faiza Alwy with Deutsche Bank.
Faiza Alwy: Yes, hi good morning everyone.
David Maura: Good morning, Faiza.
Faiza Alwy: And so yes, my first question is around then economic environment. And I think the only business where I'm wondering how cyclical that business might be and how dependent might be on the macro environment as the HHI business. So, David I'd love your perspective in terms of how your thinking about that business to the extent there is economic uncertainty?
David Maura: Well, I think with 33% GDP declines, we've got plenty of uncertain economic activity and we expect HHI to grow in this current quarter. 75% of that business is replacement in your reparable model type business. And we have the largest install base in the United States of America. We continue to be the market share leader. And yes, I mean, I'd look -- again I would ask you all to back up, go back six to nine months, this is a company that entered this fiscal year with a challenge to offset $70 million of tariffs. That was the baseline. And you saw the growth we did in the second quarter, I think we grew sales 4%. Last quarter we grew EBIT over 20% in the second quarter, that was the March quarter. And then, our both for lack of a better not a forethought into the COVID-19 storm. And I think again they're often not -- all credit to the team. It's been all hands on deck, everyone's paddling real hard. But I think we're navigating the economic uncertainty in the COVID-19 environment very well. And again, that's why my opening remarks are kind of I really want to call your attention to all our frontline workers and our factories and distribution centers around the globe. They're just doing a remarkable job. So I, again I think you should take some solace in my comment that I expect HHI to grow in Q4 and that's because we restored our supply chain. Demand remains excellent.
Jeremy Smeltser: I think David too, I'd also add. There are some different things happening as it relates to housing trends and just the economic number that you're seeing, right. There is very low inventory around the country. Home deliver [indiscernible]. A lot of people are trying to flee, multi-family units to get to their own homes. And right now that's looking like good health and start indicators which is good for the 25% of our HHI business that's exposed to that new home starts.
Faiza Alwy: Okay, that's really helpful. Just I guess my second question is you only have two months left in the year. And it seems like you have a lot of catchup to do in terms of inventory and open orders and HHI. So, I'm curious about your thought process with regard to there you're not providing specific guidance for. Those last remaining quarter, even if it's a wide range. So, I guess where do you see the most level of uncertainty just over the next couple of months?
Jeremy Smeltser: Yes, I think it's a fair question. I think the way I haven’t think about it though is obviously in many states here in the U.S. and also in some of the country's we operate in that there are still a lot of new cases rising and there's a potential for additional shutdowns. And so, while that's not impacting POS for us at this point because they remain strong, the reality is our ability to fill those orders could be temporarily impacted still if further closures were to hit us. And so, we just want to be cautious as it relates providing that financial guidance but obviously we're giving you the trend through July.
Faiza Alwy: Okay, thank you.
Jeremy Smeltser: Thank you.
Operator: Your next question comes from the line of Bob Labick with CJS Securities.
Bob Labick: Good morning, congratulations on strong operating performance.
David Maura: Thanks, Bob.
Jeremy Smeltser: Thanks, Bob.
Bob Labick: I'm in particular I think the margin expansion was really impressive. You talked a little bit about it and particularly in Pet and HPC. So, maybe you could talk a little more about the drivers for margin expansion. And if those levels sometimes in record levels are sustainable or where they should kind of settle out, how we should think about margins in those categories going forward.
Randy Lewis: So Bob, this is Randy. I'll let Jeremy jump in with some more specifics that with regards to Pet, we I think we've been talking to you guys for about four quarters now about kind of where they were in the turnaround cycle that business and starting to get seen from the initiatives we put in place a couple of years ago as we started globalizing that business. So, we've done a lot of world to simplify and focus on the core. We've done a lot of work with streamlining supply chains, exiting and closing excess capacity. Lots of work there that while I'm not saying the record level is definitely going to continue at that rate. This is not something was not expected for us. We continue to see one way ahead of us in that business. And that’s a business that but all of them are benefiting very well from our initiatives in our Pet program. HPC's a very similar situation. There was a couple million dollars this quarter related to a tariff catch up that there's a onetime benefit that's slowing through. But for the most part again, we're about 18 months into a new management team with a new global strategy, new operating model. And that's about that amount of time it takes to create new products and make meaningful supply chain changes. So, we're excited about what's going to continue to happen on that margin expansion in both of those specifics.
Jeremy Smeltser: Yes, I think Bob, I just add over time, I mean, we do think there's margin opportunity that the GPIP program thus far a lot of the saving have gone to offset the $70 million or so in tariffs this year and $50 million or so last year that David had talked about. But we see opportunity as we move forward. And we're also as David mentioned, investing a 100 basis points worth of margin or 50 basis point worth of margin incremental in A&P which we expect to drive organic growth in the future which again should fall the bottom line nicely.
Bob Labick: Got it, that's great. And that kind segregates right into my next question which really is. And maybe talk about a little increments maybe more is it based on advertising. But the question was how are you positioning the businesses to drive the incremental sales and continue to gain share and make this more recurring particularly for HPC beyond the initial kind of stay at home pop that you get, that you may have got. So, like what's the opportunity set in front of you and how do you view this incremental advertising to continue to drive recurring purchases.
David Maura: It's Dave. At the end of the day, right, we just -- we have tremendous products and we -- our innovation pipeline is strong. We've got a lot of new products coming out. The history of the Company was pretty much an M&A strategy driven by me up until recently we pivoted to organic growth and really investing behind the business. And so right now we think we have a phenomenal opportunity. We just launched Cutter hand sanitizer. We never had hand sanitizer before. Obviously we're trying to do the best we can to help our employees, frontline workers, people in our hospitals around the country, but also our customers now with our e-commerce offering. And so why not take that opportunity to really advertise the product. Let people know that the Cutter -- the unaided Cutter brand awareness, we want to spike it. We want people to understand that not only we do hand sanitizer, but Cutter's efficacy in terms of protecting you from mosquitoes and other things is fantastic. And so we really want to build share. And we're doing the same thing with the Spectracide, YOU HOLD THE POWER campaigns that you see, Kwikset, we've got SmartKey technology that lets you change your key 30 seconds or loss. We just get to tell the story better. And so we got Microban now. So, geez, it's COVID-19 we're all sitting here, I mean I'm sitting here in a room with the guys and I've got my Cutter hand sanitizer. We keep spraying our hands, like, what, it's going out of style. Well, wouldn't you feel better if you had Microban on every door knob of your house. It kills 99.9% of germs. Isn't that a great segue to market that, convey that story and convert people to the halo effect of Kwikset which oh, yes, by the way, we just launched this biometric lock called Halo and we're really front and center with the whole digital lock campaign. So I just think Spectrum has a phenomenal opportunity to actually convey the message to take share and make it more permanent. God willing, we can get out of this COVID-19 mess as soon as possible. But I agree with your point. I think we can tell our story, take share, have a bigger portion of the shelf and continue to follow that with innovative products that become recurring revenue streams.
Bob Labick: Great. Congratulations on the quarter. It's really nice to see all the hard work playing out in the operational performance.
Operator: Your next question comes from the line of Ian Zaffino with Oppenheimer.
Ian Zaffino: Hi. Thank you very much. Guys, good to see how well the e-commerce business is growing. Can you maybe give us a little bit more color there? Maybe, like what divisions are doing best there? How is their share doing online? And then maybe, like what channels of online is it more specialty versus general e-commerce? Any kind of color you could give there would be great. Thanks.
David Maura: I'm going to let Randy address it. In terms of breaking it out by segment, there's certain competitive data. We're not going to want to peel the onion so deep. But I'll let Randy take a swag at kind of giving you some broad strokes there. But you're not wrong. We are seeing tremendous growth in e-com and we're seeing acceleration. Randy, you want to take a stab?
Randy Lewis: Yes. So what I can tell you is that in the quarter the business units had performed the strongest in year-on-year growth and the conversion there was our appliance business and our Home & Garden business. And that move in the appliance business is quite encouraging to us because a year and a half ago that was an area where we felt like we were really losing ground. And so we've put a very specific focus with a brand new team over the last 12 months and that's really starting to pay dividends. And it's part of our comm ops organization. So we've centralized our e-commerce operations across all four businesses to ensure that we're applying best practices there. So those two businesses have done the best. Pet, again, very strong. HHI, a little slow this particular quarter just mainly because of supply constraints. And then the other thing I would tell you is -- that might be helpful is that North America grew at a little faster pace than Europe although Europe was still very strong.
Ian Zaffino: Okay. Thank you very much.
Operator: Your next question comes from the line of Olivia Tong with Bank of America.
Olivia Tong: Hi. Thanks. Good morning. Hope everyone is well.
David Maura: Hi, Olivia.
Olivia Tong: How are you?
David Maura: We're doing well. Glad you are as well.
Olivia Tong: Great. Thanks. First question for me is just if you could unpack the lost COVID-related sales and profit, the $100 million sales and $30 million profit, a little bit, because obviously those are pretty big numbers and the margin implication is quite high. So how much of that do you think you can get back, particularly like you think about HHI it sounds like you feel pretty good about the next couple of quarters. But then Home & Garden, obviously, there's some supply chain issue there. Are those sales now like lost because of seasonal category or is there actually some catch-up that you could potentially do in that category as well?
Randy Lewis: So good morning, Olivia. It's Randy. I would say it's a mixed bag depending upon the different businesses. And so in Home & Garden, obviously the seasonality, we're running toward the tail end of the season. But we continue to see strong demand there. We are running all out in the supply chain and we're headed into the month of August. That's a very, very unusual thing for us. So inventories are relatively low. I'm sure we've missed some consumer takeaway over the course of the season. But the main thing for us is ensuring that we are doing the right things for the health of the business. And so we feel good about the fact that we're setting up that business to be very strong for next year. So line reviews are going well. Relationships with retailers are going well. Our investment is growing our top brands. And so we will likely see some consumer takeaway that can't be recovered. In HHI which was the biggest chunk of the impact in the quarter, we had a growth on our backlog of almost $40 million over the course of the quarter. So that's just the delta between the orders in queue at the beginning of the quarter and orders in queue at the end of the quarter. So those can clearly be picked up. We also think that as the supply chain continues to replenish supply there is a fair amount of retailer inventory that will continue to catch up. But I want to caution you that as we said in the prepared remarks, we probably won't be fully caught up on that business until we get into the early part of Q1.
Olivia Tong: Got it. That's helpful. And then two related questions. First you guys talked about how you had sold off some of your Energizer shares. If you could just talk about kind of your future plans for what's remaining of that slug? And then strong quarter, good outlook, good indication in terms of some of the bits that you gave us. But it sounds like on share repurchase, it's still kind of taking a backseat on that. So obviously you guys were fairly aggressive pre-pandemic. So can you talk about what you need to see to get comfortable to reinstate the buyback? Is it wait until you get to the midpoint of your leverage range at the end of the year, below that? Just if you could talk through that, it would be great. Thank you.
David Maura: Yes, I mean on the Energizer stake, it's just opportunistic. Obviously, March and April were periods of significant financial stress in the markets and in conjunction with kind of getting a new cash flow revolver and terming out some debt, it's leverage neutral, but it's nice to have a lot of runway. I think that was just a good liability management. And so as we look forward, quite frankly, listen, I -- we were aggressive on the repurchases early in the year. This was the year we were going to really deliver quite well in my opinion from the start of the year and we didn't have COVID-19 in the plan. And so obviously we backed off of repurchasing shares to kind of maximize liquidity and protect the balance sheet. I think that if you look at our peer group, our stock remains significantly undervalued. We would like to return to repurchasing. I personally would like to see EBITDA start to grow here and the leverage ratio tipped down. But we believe relative to our comp set, we are very attractive from a valuation standpoint, both on a total enterprise value to EBITDA basis and on a free cash flow yield basis. I think people if they do the math will figure out we are double digit free cash flow yield company with an improving outlook.
Olivia Tong: Thanks guys. Be well.
David Maura: Thank you, Olivia. You as well.
Operator: Your next question comes from the line of Jim Chartier with Monness, Crespi, Hardt.
Jim Chartier: Hi. Thanks for taking my question.
David Maura: Sure. Good morning.
Jim Chartier: Good morning. You guys have been increasing your marketing spend for a couple of years now and then another $20 million step up here. I guess how does your marketing spend following the step-up compared to your peers? How much more opportunity do you see to increase the marketing investment going forward?
Randy Lewis: Yes. So, Jim, this is Randy. I would tell you our marketing spend has been relatively flat and relatively low compared to peer sets for up until this year. And so we had planned on incremental spending this year and David's $20 million incremental is beyond that. That's a number that exceeds just the balance of this fiscal year. But without getting into actual data, we still have a ways to go. We believe we're still well on the positive side of the ROI curve there. And we'll be looking to continue those investments. We've been very consistent that we feel like the key to strategic growth, organic growth is insights, innovation against those insights, advertising against those innovations. And so that's the recipe across the totality of the enterprise and we're just now kind of getting started.
David Maura: And just to give a little bit of specifics, Jim, so historically the last couple of years, we've been kind of just under 1% of sales. The incremental $20 million that David talked about, we will spend around half of that this fiscal year and around half of it in the first half of next fiscal year. But we do expect this year's spend to get over the 1% of sales mark. And I would say the categories kind of vary as you look at peer group sets and some of the data is difficult to get. But there is probably still some runway for increased spending as we go forward and show success and return on that investment.
Jim Chartier: Great. And then, Randy, how impactful were kind of COVID related incremental costs in your manufacturing or other facilities? And then are you now kind of finding ways to reduce those maybe going forward or maybe pass them on to customers with some pricing? Thanks.
Randy Lewis: Great question, Jim. We're not at the point where I think those costs passing on are part of our discussions with our customers. But they've been relatively controlled. HHI has had a fair amount because of just the extent to which we had shutdowns. But for the most part we've been able to find offsetting efficiencies and productivity. So those are not going to be material pieces to us going forward in the next year.
Jeremy Smeltser: I think that's right. I'd also add, like a lot of companies, our travel -- our T&E costs are down quite a bit in the face of COVID-19. That's another thing to think about as you think about a more normalized environment, potentially and hopefully for next fiscal year.
Operator: Our final question comes from the line of William Reuter with Bank of America.
William Reuter: The last couple of calls, it sounds like M&A has not been particularly active. Are you going to be investing more in advertising because it sounds like that's where you see the most opportunity right now. Are you seeing M&A opportunities right now and given the pretty strong demand for all your products, are you guys looking to be active there?
David Maura: Yes, I mean the Company definitely took a break from M&A for a while. We want to get our organic growth rate up. Global Productivity Improvement was a very large enterprise wide program and that's still ongoing. So the work that's been done here over the last 18, 24 months is really getting our house in order, really supporting our hero brands, our largest categories and really trying to take share. So we're still -- that's the number one priority, is organic growth rate and sustainable free cash flow going forward. But we did do a tuck-in acquisition in our aquatics business. And so we're open for business there. Never say never to anything large. But I think generally speaking, March, April even into May the M&A markets were pretty frozen. We definitely see them loosening up here. But -- again, our focus is driving shareholder value. We want to get the leverage back down. We want to get EBITDA growing again and we think we're on that trajectory right now. So stay tuned.
William Reuter: All right. And then just as a follow-up, it's always hard to gauge the size of some of the new products, but it sounds, given the amount of time, you guys have spent talking about on this call, like it may be a greater revenue opportunity than maybe you've had in several years. I guess, one is that the case that the new innovation is a greater opportunity? And then two, do you feel like this $20 million of advertising that you're going to be spending, will that be paid for immediately in terms of sales or do you think that this is more brand building and will be paid for over time?
David Maura: I think -- I look at advertising as typically like you've got to be involved in it for a three-year kind of payback, which is not a long period of time, if you think about it. But if you just -- if we just take a simple example, we started turning the ad dollars on just months ago on the George Foreman Smokeless Grill. And that business had been kind of flat into a decline for a decade. And we're just seeing POS through the roof, not just because of COVID, we're taking a lot of markets share. Our dollar market share in grills is up double digit. And so we do believe we're seeing a very quick return on our ad dollars. But we are prepared to build that into the model going forward. And what we've done is, we're using the savings generated by our Global Productivity Improvement Plan to pay that bill so that we can actually drop the incremental revenue and the contribution margin back to our shareholders. And we're in that inflection point, Q2, Q3, we would have preferred not been interrupted by COVID-19 on supply chain side. But we are seeing very fast payback. And yes, I think you're right, I think we have tremendous opportunity to grow Kwikset, Pfister, Spectracide, Cutter, all of our big brands have tremendous growth potential. And we see that -- we see that even now with DreamBone, SmartBone. There's a lot of growth under the surface. And we want to demonstrate that to our --to the investment community over the next quarters and years.
William Reuter: Great. That's all from me. Thank you.
Operator: I would now like to turn the conference over to David Maura for any additional or closing remarks.
David Maura: Listen, again just thanks everybody for joining us. We believe we're on the right trajectory. I really thank all of our employees around the globe for paddling hard. And since we've reached the top of the hour, we will conclude the conference call. Just want to say thanks for your interest in Spectrum Brands and we look forward to talking to you again in the next 90 days. Stay well everybody, stay safe and we will talk to you soon. Thanks.
Operator: Thank you for participating in today’s conference call. You may now disconnect your lines at this time.